Operator: Good afternoon, ladies and gentlemen. Welcome to the Galp Third Quarter 2023 Results Presentation. I will now pass the floor to Otelo Ruivo, Head of Investor Relations.
Otelo Ruivo: Hello, everyone, and welcome to the analyst Q&A session to review Galp's third quarter 2023 results. Earlier this morning, Galp released all the materials related with the results together with a short video where Maria Joao covered the key quarter highlights. Therefore, following the same format used in the previous quarters. The session will start with a short opening remark from Filipe, and then we will move on straight to Q&A. On our side, to take your questions, we have the full executive team and some leadership team members as well both here in Lisbon and connected from Brazil. Let me just provide you the usual disclaimer that we may make forward-looking statements that refer to our estimates, and actual results may differ due to a number of different factors as indicated in the cautionary statements included on our materials, which we will advise you to read. Filipe, the mic is yours.
Filipe Crisostomo Silva: Thank you, Otelo. Good afternoon. If I look back at Q3, you start to see the structural improvements in our operating performance. The macro, it is what it is. But operationally, we are in a much, much better place. We had our challenges a few years ago. It's all becoming more normal. And we continue to see outstanding reservoir performance, and you have no doubt seen the massive turnaround in our energy management business. On the negative side, we continue to be subject to discriminatory taxation. It is an issue we are dealing with internally, but more strategically, we are transforming Galp. So this is a growing company in the core business, it is also a company with long-life assets, no Middle East exposure, and it is decarbonizing whilst creating real shareholder value in our low carbon activities. So we continue to derisk the portfolio. So we continue to see significant upside and we're glad to see the market starting to give a bit more credit to companies like Galp, which have a long-term growth profile over shorter-term yield considerations. I'll stop here, Otelo. Thank you.
Otelo Ruivo: I think we can open the Q&A.
Operator: [Operator Instructions] And your first question comes from the line of Oswald Clint from Bernstein. Please go ahead.
Oswald Clint: Yes. Good afternoon, everyone. Thank you very much. Just on Brazil. Obviously, you're going slower on the renewables piece and the pipeline, which you've -- is in line with what you've spoken about the last couple of quarters. But could you perhaps say what that does in terms of freeing up CapEx in 2024 perhaps? And but also, there is a bid round coming up December 13 for the offshore oil and gas sector. Should we expect you guys to bid a bit more aggressively in that as a consequence? And then secondly, on the midstream or the supply optimization piece. I mean, we can obviously back out refining, and we're seeing this €100 million to €200 million contributions each quarter now coming through the year. And I know this quarter, it's oil, gas and power responsible. Was it split across the 3? Is there any way to think about this ratability coming through this line as we look into next year and the year afterwards, please? Thank you.
Filipe Crisostomo Silva: Thank you, Oswald. On Brazil renewables, again, this could be Brazil could be anywhere else. This is a story of value over volumes for us. We like to grow our renewables pipeline. We will grow our renewables pipeline. We actually need the electrons for some of the midstream and industrial activities that we carry out as we decarbonize. Lower execution in 2024 inevitably leads to much lower CapEx, that's clear. We do have Namibia, however, where we are keeping 80% as we speak, and we're carrying the other 20% minorities. So you'll see the mix of CapEx going into 2024 is different from what we had anticipated. The bid rounds, yes, Brazil is a place we like. We are looking at it carefully. We don't expect the bid rounds coming our way to have any significant impacts in CapEx over the next few years.
Rodrigo Vilanova: This is Rodrigo Vilanova with Energy Management. Regarding your question around the oil, gas and power contribution for the midstream, I would say that the natural gas business so far has been the largest contributor. However, the oil, the biofuels, the power, the other lines of businesses are now fully established. They are developing quickly. And although we expect gas to remain the largest contributor within the next few months, the other businesses are growing and catching up quickly. Thank you.
Oswald Clint: That's great. Thank you, both.
Operator: Thank you. We will now go to the next question. And your next question comes from the line of Alessandro Pozzi from Mediobanca. Please go ahead.
Alessandro Pozzi: Hi. Good afternoon. I have two questions. The first one, if you can give us a bit more color on the reasoning behind the impairments in Brazil in the renewables side and also, you mentioned a slight difference in CapEx in 2024. I guess you still have a guidance of €1 billion in net CapEx for the 3-year plan, which probably means anything between maybe €2.5 billion and €2.8 billion for the next couple of years. Any indication of whether this is split equally over the next couple of years? Or is it more front-up or back-loaded? Thank you.
Georgios Papadimitriou: This is Georgios from the renewables team. So on the impairment in Brazil, we have -- we were given the opportunity by the regulator in Brazil to revisit our connection commitments, interconnection commitments. So the market was full of projects that have interconnection commitments and everybody was asking for extensions in their COD deadlines. What the regulator decided is to give everyone the opportunity to, let's say, release themselves of the commitments they had on these interconnection contracts. And as such, the market went in about 11 gigawatts of capacity when they released their interconnection commitments. We did the same on over a gigawatt of our projects. That doesn't mean that the projects don't exist anymore. The projects are in our portfolio. However, they don't have interconnection rights. And we will ask for interconnection rights when the market turns. Right now, the market has been, let's say, characterized by very, very low prices, high CapEx, high inflation and high interest rates. That is why many renewables developers, including ourselves, decided not to proceed now with those projects, release their in their connection rights, and then, of course, take time to decide if the market and when the market turns to request again for interconnection rights. So as a matter of prudency, we decided to impair €59 million invested in five of our projects. Thank you.
Alessandro Pozzi: So basically, at the moment, you're not planning to go ahead on new projects in renewables in Brazil.
Georgios Papadimitriou: At the moment, the returns are not there. So at the moment, which means today, there's no opportunity for FIDs in Brazil.
Alessandro Pozzi: All right. Thank you.
Filipe Crisostomo Silva: On overall CapEx, Alessandro, we will give you guidance in February. But the golden rule at Galp is we've given you a multiyear net CapEx guidance, and that's we should stick with that. We are a midsized company in really large projects. So inevitably, when we discuss investments of divestments, they tend to be quite lumpy. So hard to pinpoint when they happen. And if they happen at all, and we see, for example, now less renewables, but maybe a bit more of upstream because of Namibia. But we will play with the two sides, the two legs, the growth CapEx and with the divestments. So and we don't have full visibility, so we decided some of this as we go along. But the commitment to the market is as we keep net CapEx over three years at €1 billion on average. Thank you.
Alessandro Pozzi: And just if you can give us maybe an update on the Namibia CapEx.
Filipe Crisostomo Silva: Namibia is two wells, which we fund at 100% plus dynamic testing. So we're discussing $200 million to $300 million for the overall campaign. Thank you.
Alessandro Pozzi: Thank you very much.
Operator: Thank you. We'll now go to our next question. And the next question comes from the line of Biraj Borkhataria from RBC. Please go ahead.
Biraj Borkhataria: Hi. Thanks for taking my question. The first one is just on Mozambique. There was some discussion about that potentially being part of the short on the net CapEx front, if you were to divest it in the face of more renewables investment. I was just wondering if you're thinking any differently about where that project fits in your portfolio and whether you started the sales process yet for Mozambique? And then second question is on biofuels. That project is structured as a JV with you and Mitsui. I was wondering if you can talk about the rationale for not going alone? And also, if you could talk about your feedstock strategy over the medium term. Thank you.
Filipe Crisostomo Silva: Biraj, Mozambique is a jewel of our project, and we really like the on short part of the project. Coral is working well, and we're not at the stage where we even know timing. So we need to wait for force majeure to be lifted. We're going through pre-FEED and next year all the front-end engineering is going to be carried out for the modular trains onshore. And that is the focus of Galp at this stage, derisk as much as we can this project. Thank you. Ronald?
Ronald Doesburg: Yes. Thank you, Filipe. So this is Ronald from industrial. Thank you for the question. So if you look at our JV, the critical part is indeed the feedstock strategy. So going with Mitsui, from an equity share, 75% Galp, 25% Mitsui. But from a feedstock perspective, 50% Mitsui and 50% Galp is one of the main regions actually partnering in this space. it gives us global reach from an overall feedstock perspective, where Galp has already existing business built up in Iberia and South America, together with Mitsui will actually have a global reach also going clearly into the East, we have a lot of the used cooking oil is coming from our future projects. So that's actually the main reason.
Biraj Borkhataria: Okay. Very clear. Can I ask just one follow-up on Mozambique. There's also some discussion around a second floating facility. Where do you stand on that one, Filipe?
Filipe Crisostomo Silva: We're discussing within the consortium that project as we speak. So it would be a copycat of Coral South. Again, it is a live situation. As I said before, three months ago, Galp is very focused on the onshore project. Thank you.
Biraj Borkhataria: Okay. Very clear. Thank you.
Operator: Thank you. We will now go to the next question. And your next question comes from the line of Matt Smith, Bank of America. Please go ahead.
Matt Smith: Hi, there. Good afternoon. Thanks for taking my question. A couple from me, please. The first would be around the FIDs taken in the Industrial division in September. As I understand that these were sort of effectively delayed until then, given the tax rate that you're expected to pay. So are you able to confirm what the fiscal and regulatory backdrop has been confirmed to those projects, please? And then the second one would just be an update on Bacalhau if I could. I think you've specified June 2025 as a first oil target. Can I just check whether that guidance remains unchanged? And any update on the project, if you could, please? Thank you.
Filipe Crisostomo Silva: Thank you, Matt. I'll take the industrial projects and Daniel and Rio will take Bacalhau. The proposed state budget for 2024 includes an exemption of the extraordinary taxation that we have in the refinery for projects that comply with energy transition. This was one of the topics we were very concerned about that we'll keep investing in Portugal in adopting our Sines refinery. And still, we know how challenging those projects can be. The last thing we need on top of the normal taxation in Portugal, which is extremely high that this new energy transition project would be subject to further extraordinary taxation. So this state budget is being discussed in Parliament. Let's see what comes out. But direction of travel looks good. Thank you. Daniel?
Daniel Elias: Thank you, Matt for the question on Bacalhau. So Bacalhau is now progressing with the FPSO how and modules in Singapore with integration by Sao Tome. We have achieved major milestones with Gomes delivering all the packages to Singapore and we are targeting to have the FPSO sell away from Singapore in the second half of 2024. And we are maintaining our first oil date in the second half of -- in the midst of 2025. This will enable Galp to grow the production by 30% until 2026. In Brazil, we have now two rigs operating, one of those two rigs is currently drilling the RBA well, which is the appraisal well, very relevant for the Bacalhau second phase data acquisition. In a nutshell, this is where we are with Bacalhau all grow according to the guidance we provided before.
Matt Smith: Perfect. Thanks very much.
Operator: Thank you. [Operator Instructions] We will go now to the next question. And the next question comes from the line of Giacomo Romeo from Jefferies. Please go ahead.
Giacomo Romeo: Hello. Good afternoon. I have a question on the advanced biofuel units. The unit CapEx look relatively high compared to similar brownfield projects. Just wondering if you can share a bit more around the characteristic of the investment here and whether that could help explain the difference on the unit CapEx basis. And Also, can you share some details on the level of EBITDA you're planning to generate here? Is it too early at this stage? Second question I have is on the E&P segment. In the report today, you mentioned some contractual adjustments for Brazilian equity gas contracts. Can you share more details? Anything we should keep in mind in terms of -- around this when we model for long-term gas price realizations? Thank you.
Ronald Doesburg: Thank you for the questions. So maybe first on the biofuels. We actually benchmarked overall HVO CapEx with different kind of projects across Europe and we're probably somewhere in the middle of the pack. If you look at the kind of benefits we are having, we're clearly building this unit in an existing refinery. Some of our utilities and logistics, and we basically can benefit from our refinery structure. But yes, we do need to build a treatment unit and an hydro generation unit to produce the biofuels. We're also using then our existing tank farms from an overall blending capacity point of view. So all in all, from an overall project perspective, I think we're well in line with the market. EBITDA is clearly too early at this moment in time, but it does hit, of course, industrial hurdle rates that we have for ourselves when we look at making investments like this. Thank you.
Operator: Thank you.
Filipe Crisostomo Silva: Sorry, just one second. Giacomo, you had a question on gas contracts in Brazil. Would you mind repeating the question, please?
Giacomo Romeo: Yes. I just thought that you mentioned that there have been some impacts on the effectiveness contractual adjustments there. Just wondering if there are any impacts on terms of how we should think about your gas realization in the country going forward.
Filipe Crisostomo Silva: Okay. I mean, no additional information so far. I mean our gas business in Brazil, we have over 50 clients who have contracts in different terms, different pricing, but has been, I mean, no material change recently. Thank you.
Operator: Thank you. We will go now to the next question. And the next question comes from the line of Henri Patricot from UBS. Please go ahead.
Henri Patricot: Thanks. Thanks everyone for the update. Two questions from me, please. The first one on your green hydrogen project. I was wondering if you could share with us any comments around expected returns here. And whether this green hydrogen you would expect to use mostly for the traditional refinery or that's something that you could use as well in the HVO unit? And then secondly, let's come back to the upstream production guidance up to at least 115,000 per day for next year. Can you perhaps come back to what has changed compared to February when you were talking about close to 110,000 per day. Thank you.
Ronald Doesburg: Yes, thank you. Thanks for the question Henri. So if you look at the green hydrogen project, there's clearly a European mandate to produce RFNBO fuels. So these clean hydrogen will be used actually fulfill the mandate on RFNBOs. We have the option later on if we would like to indeed use this clean hydrogen in our HVO unit that's building simultaneously with the initial idea is that we use the green hydrogen in our RFNBO fuels.
Daniel Elias: Harry, thank you for the opportunity to dig deeper on the revision on production guidance. As we have commented before, we were assessing for a solid and sustainable evidence to, if proven right review our guidance. And that's what we have observed for 2023. We have reviewed our guidance up to €120. And going forward, until the first oil of Bacalhau project, we have also materially reviewed our guidance. This is based on supportive evidence of the extraordinary performance of the reservoir in pre-salt and also the effective reservoir management being achieved. Also, we are confirming improved efficiencies in production units via an effective maintenance program and in addition, the execution of all the activities that we have planned in order to arrest decline via the infill well and associated subsea activities. So based on all of this evidence, we have updated our guidance. Also, as it has been mentioned before, we have now Coral in Mozambique performing according to plan with good performance. Thank you.
Henri Patricot: Thank you.
Operator: Thank you. We will now go to the next question. And the next question comes from the line of Irene Himona from Societe Generale. Please go ahead.
Irene Himona: Buyback. You have spent about €300 million in the nine months. We can do is not just €200 million in Q4 to complete by year-end? Or is it likely to complete early in the first quarter? And then secondly, both the P&L tax and the cash flow tax include these special windfall and solid Iota taxes. Can you please remind us what we should expect in the fourth quarter for these special taxes? And then perhaps what you're budgeting for 2024? Thank you.
Maria Joao Carioca: This is Maria. Thank you for your question. On the share buyback program, we remain on track to execute the full program this year, slightly slower in the summertime given liquidity. But the broker that is executing this and has a blind mandate, as you know, is still giving us comfort on the full execution. So quarter-to-date, we're now at €370 million and again, expecting to execute to complete until the end of the year. We're now thinking that we will be canceling the shares still in 2023 and starting 2024 with the share count already adjusted. Thank you.
Filipe Crisostomo Silva: On taxation. So on top of the normal corporate income tax rate, which for big collection, we have 34% in Brazil. We have all in, in Portugal, the normal taxation on income tax is 31%, 25%, I think, in Spain. Now on top of all of this, governments have been trying to introduce to oil sector, in particular, a number of other taxations. Windfall taxation started as a European law, somehow the Spanish government chose its own route. Not clear if windfall taxation in Spain will continue or not. It depends also on the political landscape in Spain. Portugal, we don't expect windfall taxation after 2023, but we do have the sales taxation, so the extraordinary taxation that unfortunately looks as if it will continue originally, it started as a way to reduce the tariff deficit of the electrical system, nothing to do with oil and gas. And it was expected that as the tariff deficit would go to zero, then sales would also go to zero. That promise has not been met actually going into 2024. We see the tariff deficit going back up off, the electrical system going back up. So we're not as confident as we were that the sales taxation is as extraordinary as we wanted. Hence, we had booked it as a nonrecurring extraordinary as the name says, now it's becoming more permanent than expected. In Brazil, clearly, the export tax of 9% on exports ended at the end of June '23. On the cash flow statement, you'll still see a tail of that from a cash disbursement point of view, some of that fell into Q3. We don't expect this to come back. but there are a number of discussions in Brazil about reorganizing the tax system. We have some visibility, but very incomplete visibility of what may or may not happen in Brazil going forward. Thank you.
Irene Himona: Thanks very much.
Operator: Thank you. We will now get to the next question. And your next question comes from the line of Sasikanth Chilukuru from Morgan Stanley. Please go ahead.
Sasikanth Chilukuru: Hi. Thanks for taking my questions. I have two left, please. The first was, again, going back to the midstream businesses, it appears that the businesses have already delivered more than €400 million EBITDA so far this year, which was the guidance provided for this business for the full year last quarter. Just wondering what the latest guidance was. And again, it was as previously discussed as well. I just wanted to understand how much of it can be structurally transferred for next year if current markets environment prevailed. The second question was a clarification. I just wanted to understand what the dividends to minorities was for 4Q, if you could let us know the expense. Thanks.
Filipe Crisostomo Silva: Sasi, let me start with the last question, and Rodrigo will take the midstream. The understanding with Sinopec is that we pay every year, the free cash flow, both CapEx generated on the year before. So we expect this to be the role. We haven't taken a final decision. There are also a number of tax considerations that we need to understand better as we approach year-end, Rodrigo?
Rodrigo Vilanova: Thank you, Filipe. Regarding the midstream contribution, I mean, despite some continuous challenges on long-term supply agreements, we have indeed posted a robust contribution we expect, in the near term, this contribution to remain robust. But regarding guidance, we are not at this stage giving guidance for next year, but the full year industrial and midstream together, the revised guidance up is of €900 million in the full year.
Maria Joao Carioca: On noncontrolling interests, excuse you just a minute on the second question on noncontrolling interest. So it was disbursed so far, nine months '23, approximately €90 million, €89 million, and our expectation for full year is €82 million. Thank you.
Operator: Thank you. We will now go the next question. And the next question comes from the line of Michele Della Vigna, Goldman Sachs. Please go ahead.
Michele Della Vigna: Thank you. It's Michele Della Vigna here. Two questions, if I may. The first one is on Namibia. Very exciting that you start the spudding of the well in November. I was wondering, we've seen two wells being drilled relatively close to your acreage. The Cullinan-1X well and the Nara-1X well from Shell and Total and both in this case were unsuccessful wells. I was wondering if that in any way has changed the way that you approach your drilling and which kind of formations you are aiming at? And then secondly, given the very, very strong performance you've had on your gas marketing business, I was wondering you are still missing the volumes from Venture Global. We're still not delivering to you. I was wondering what legal avenues you have to effectively force the delivery to start and when you expect to contribute to your gas marketing business. Thank you.
Adriano Bastos: Good afternoon. Here is Adriano Bastos. I will answer about Namibia. Unfortunately, Cullinan, Naron were non-successful wells for two different reasons. Cullinan is a carbonate target, which is not the reservoir that Mopane is objective that to be a sandstone. Nara failure was related probably by phases degradation, and that is part of our risk evaluation of our well. Thank you.
Filipe Crisostomo Silva: Thank you. Regarding the supplies from Venture Global, you're right. I mean we have not yet received any cargo under the long-term agreement. You understand we cannot comment on confirmational legal proceedings. What I can say is that, I mean, any time that we believe our contractual rights are not being met. We will take -- we have taken and we'll take all actions applicable to preserve our contractual rights. Thank you.
Operator: Thank you. We will now go to the next question. And your next question comes from the line of Matt Lofting from JPMorgan. Please go ahead.
Matt Lofting: Hi team. Thanks for taking the questions. Two, if I could, please. First, capital allocation and CapEx at the beginning of the year when the company announced this exit from Angola, did you anticipate at that point the more disposals may be not needed in order to manage the 3-year CapEx to the guided level. And then as we sit today with renewables phasing, et cetera, appearing lower, as you talked about earlier, do you still think that more disposals are necessary? And then secondly, Filipe, I wanted to follow up on the comments you made earlier around the Brazil tax system and limited visibility by the São Tomé Of possible future revisions given such an important part of Galp's portfolio and business. Could you just expand there on any key areas of uncertainty from Galp's perspective and where your focus is on that. Thank you.
Filipe Crisostomo Silva: On Brazil, the information we have is public. So there are different proposals on the table, some of which entail a reduction, a significant reduction of the corporate income tax rate from 34% to 27%, if I'm not mistaken. But there would be a new withholding tax on dividends that would be exported out of Brazil. Net-net, it will have a somehow negative consequence to us, but not that meaningful. That's one of the discussions. There's a discussion about increasing the corporate tax rate. So that tells you how much of an insider we are. So we see a number of negotiations going on in Congress, and we see the government trying to plug a tariff debt -- a budget deficit. Very relevant to us is also the ANP price, so the price at which the molecules are -- on what basis they are taxed. Today, there is a basket that includes a number of components into the basket, including fuel oil at 3.5% sulfur. There's a discussion about using a different metric, say, 1% sulfur. So that has implications to us as well. The one piece that seems to be relatively clear by now is what they call interest. So there's a deemed cost of equity that is tax deductible. It looks as if this will go away, meaning that not all the equity is going to be tax deductible in Brazil. On CapEx overall, let me rephrase what I said before, we look and the commitment to the market is €1 billion net CapEx. How we play both legs, be it growth CapEx and divestments is something that we decide depending on market context, whether the speed at which we build our renewal portfolio, et cetera. So hard to give -- to say that we need more disposal where we're sitting today, given what's happening in renewables in Brazil, we will have less need for divestments because we have, unfortunately, less need of CapEx going into renewables as we sit today. This can change. Thank you.
Matt Lofting: Thanks very much.
Operator: Thank you. We will now go the next question. And the next question comes from the line of Ignacio Domenech from JB Capital. Please go ahead.
Ignacio Domenech: Yes,. Good afternoon. Thank you for taking my questions. The first one is on shareholder distribution. I was wondering what is your view on the mix between the dividends and share buybacks going forward. Given the Galp's current share price, I would assume this might have triggered an internal debate so I would like to know whether you would be willing now to increase the proportion of cash dividends in the trend of share buybacks. Then my second question is related with Namibia. I do appreciate you will spot those wells starting in mid-November. It would be interesting if you could share any preliminary estimates or an indication of the oil in place that you might be targeting in the reservoir. Thank you.
Maria Joao Carioca: Thank you for your question, Ignacio. On share buybacks versus cash distribution, if I heard you correctly, I think for now the base case is using buyback on top of the cash dividend up to 1/3 of OCF that what we've been discussing with the Board, and that's where we stand right now in terms of we see this moving forward. So also, finally, on Namibia, your question on preliminary estimates, no guidance at this point. Thank you.
Ignacio Domenech: Thank you.
Operator: Thank you. We will now go to the next question. And the next question comes from the line of Alejandro Vigil from Santander. Please go ahead.
Alejandro Vigil: Yes. Hello. Thank you Filipe, Otelo for taking my questions. A couple of questions about your low carbon strategy. The first one, if you can give us an update on the lithium mining project with North fold, there is any news on that? And the second is looking at the derating in the valuation of green projects, green companies, if you could consider M&A as an option for expanding your renewable portfolio faster than expected. Thank you.
Filipe Crisostomo Silva: Welcome back Alejandro. On lithium, we're going through the FEED. So we have a very interesting platform. We have teams from all over the world very dedicated to build this lithium conversion plants together with North fold. So we are in the engineering phase. This we expect to take FID in sorry, 2024, late '24. Derating, yes, clearly, we're monitoring as the valuation EBITDA multiples converge very significantly over the last few 12 months is clearly, it has not gone unnoticed at Galp. We need electrons in Iberia also to feed our electrolyzers. So we are keeping a close eye around this. Thank you.
Alejandro Vigil: Thank you.
Operator: Thank you. We will now go the next question. And the next question comes from the line of Pedro Alves from CaixaBank. Please go ahead.
Pedro Alves: Hi, thank you for taking my questions. The first one on renewables. So you have this reduction in the pipeline, clearly being more selective in renewables. So we understand this demonstrates your capital discipline considering the importance of renewables for the decarbonization of Galp. It also inevitably triggers the question, if you, at some point, are changing your focus. So could you eventually prioritize more this low-carbon industrial project such as the advanced biofuels, hydrogen or the lithium or if I'm going to stick to your long-term target in renewals, will it resort to M&A to reach them? And the second question is on commercial volumes. Look a bit weak, not only in our product for also power and gas, but margins surprised positively clearly about historical reference. So can you perhaps give a little bit more color on this performance of the commercial unit and whether or not this was driven by any one-offs in this quarter? Thank you.
Filipe Crisostomo Silva: Thank you, Pedro. Galp is not going to be a renewable company in the sense that we want to be solely in renewable. Galp needs the green electrons to decarbonize its industrial footprint. Galp is and wants to remain liquids company. It will be a different liquid. But we need to stick to what we do best, which is to supply energy and would like to do the difficult part. The part that is the hard-to-abate part where barriers to entry are very significant, where we have a huge competitive advantage because we have the ports, the tanks, the pipelines, you name it. So for that, we need electrons, and that's why renewables is important to us so that we have an end-to-end value stream same way as we go from exploration in upstream all the way to delivering gas oil at the gas stations. It has to be end to end so that we play the whole value chain. Thank you.
Adriano Bastos: Thank you for your question. On the commercial side, of course, we had the most -- the season where we have the most activity is the summer season. I want also to highlight the transformation we are under particularly in convenience retail, which is one of the pillars that we have in commercial. But let me tell you that on the Portuguese side, we are already recovering on the volume side. We can also highlight at this point with a high price context that we are having a strong campaign, a strong discount campaign on the Portuguese side. Let me also say on the Spanish side, a bit more pressured, different locations from which the product is coming, we want a level plan to compete, and we are already having also an integrated approach on the Spanish side in an integrated offer. But on track recovering and looking forward to continue our transformation on commercial. Thank you.
Pedro Alves: Thank you.
Operator: Thank you. We will now take our final question for today. And the final question comes from the line of Kate O'Sullivan from Citi. Please go ahead.
Kate O'Sullivan: Hi. Thanks for taking my question. Just a final few follow-ups. Firstly, on Namibia, you talked previously about involving another party once you derisk it. Have you already had discussions with other parties in an attempt farm down the Namibia equity? And then secondly, you've obviously had good capture this quarter in terms of refining margins and have downtime at [CNES] now. But if you could give some color on what you're seeing in terms of cracks quarter-to-date for 4Q. Thanks very much.
Filipe Crisostomo Silva: Yes, Kate. Yes we have always said that we want to capture the exploration upside and take all the exploration risk cost downside. So yes, we have been having discussions with several parties, but this is not the time to engage. We need to understand the scale of what we have at hand. Thank you. Ronald?
Ronald Doesburg: Thanks for your question. So if you look at the refining margin, first of all, in Q3, they were the highest of the year. So they were $14.6 per BOU in Q2, there was $7.7, yes, so almost double. Current refining margins are roughly around $9. You have a higher oil price, you have China exporting more products. Your gasoline tax are clearly coming off because it's the end of the driving season and refining margin traditionally in this period of the year supporting by winter season. So gas prices but also hitting all tracks are keeping up depending on what the outside temperature is going to do. That's the market. it's probably important to realize that [indiscernible] is giving we have a turnaround towards the end of November. We won't make -- we won't produce anything and hence, you won't capture any of that refining margin. Our costs clearly are there because we have a turnaround during October and November, and with the margin side is not there. So the results for refining in industrial in that space for Q4 will, of course, be different versus what we have been seeing year-to-date.
Otelo Ruivo: Okay. I think this ends this session. Thank you all for participation in the Q&A. We hope it was a useful one for you. Do get in touch with the IR team if you have any follow-ups. We wish you all a fruitful results period. Hope to see you all soon.
Operator: Thank you. This concludes today's conference call. Thank you for participating. You may now disconnect.